Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Ellington Financial Second Quarter 2018 Financial Results Conference Call. Today's call is being recorded. [Operator Instructions] It is now my pleasure to turn the floor over to Jason Frank, Associate General Counsel of Ellington and Secretary. Sir, you may begin.
Jason Frank: Thank, and good morning. Before we start, I would like to remind everyone that certain statements made during this conference call may constitute forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not historical in nature. As described under Item 1A of our annual report on Form 10-K filed on March 15, 2018, forward-looking statements are subject to a variety of risks and uncertainties that could cause the company's actual results to differ from it's beliefs, expectations, estimates and projections. Consequently, you should not rely on these forward-looking statements as predictions of future events. Statements made during this conference call are made as of the date of this call, and the company undertakes no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. I have on the call with me today Larry Penn, Chief Executive Officer of Ellington Financial; Mark Tecotzky, our Co-Chief Investment Officer; and JR Herlihy, our Chief Financial Officer. As described in our earnings press release, our second quarter earnings conference call presentation is available on our website, ellingtonfinancial.com. Management's prepared remarks will track the presentation. Please turn to Slide 4 to follow along. Please note, that any references to figures in this presentation are qualified in their entirety by the end notes at the back of the presentation. With that, I will now turn the call over to Larry.
Laurence Penn: Thanks, Jay and welcome everyone to our second quarter 2018 earnings call. We appreciate you taking the time to listen to the call today. Our prepared remarks today will follow the earnings presentation that we posted on our website last night. Please turn to Slide 4, Ellington Financial had excellent performance in the second quarter. We were able to build on the strong momentum of the first quarter as we continue to benefit from our growing credit portfolio which increased another 9% this quarter. As a result net investment income is also growing nicely increasing to $0.36 for the quarter, almost covering the dividend on it's own. Overall, Ellington Financial generated net income of $21.2 million or $0.69 per share and an economic return of 3.8% for the second quarter. Adjusted for dividends, book value is now up 8.2% through the first half of the year or 17.1% annualized. Based on yesterday's closing price of $16.40 per share our annualized dividend yield is 10%. Excellent performance within our credit portfolio drove the quarter's results. We benefited from strong performance in several of our loan related strategies including consumer loans, small balance commercial mortgage loans, European non-performing loans, and non-QM loans. Among our security strategies; U.S. and European CLOs, U.S. CMBS, corporate credit relative value, and European RMBS all posted strong returns. The growth in performance of our securitizations continues to be a key driver of our results. This past quarter we participated in our third Ellington sponsored corporate CLO achieving tighter pricing and a longer investment period than our previous issuances even in the phase of a softer overall CLO new issue market. We believe we have a differentiated strategy in the CLO space, we rely on our deep credit underwriting expertise to find inefficiencies in the lower rated less widely syndicated leverage loan market where there is much less competition for assets. Moving to our non-QM securitization strategy; during the second quarter S&P upgraded three classes of our inaugural [ph] securitization, the FMT 2017-1. This deal has the highest perfect payer percentage of all non-QM securitizations and it's vintage as reported by Bloomberg. We are nearing critical mass of product for a follow-on securitization and plan for that later this year subject of course to market conditions. Please turn to Slide 5 where you can see an overview of the current portfolio across our various credit and agency strategies. At quarter-end 80% of our capital was invested in credit strategies where we're generating a blended market yield of 9.1% and that's before leverage; we continue to focus on investing in strategies that favor our analytics, strategies where there are big barriers to entry, and strategies where big banks no longer compete due to post-crisis regulation. We also have ample of liquidity and have kept a duration on a large portion of the portfolio relatively short, so it's constantly returning capital. Our disciplined approach to liquidity management should enable us to take advantage of investment opportunities in periods of volatility. As you could also see on Slide 5, we finished the quarter with a debt-to-equity ratio of 2.77:1 with much of this leverage concentrated in our highly liquid agency portfolio. This compares to a debt-to-equity ratio of 2.62:1 at the end of the first quarter. So leverage continues to tick-up as we grow the portfolio and buyback shares but I would expect the rate of growth to start to level-off as the portfolio approaches it's desired size and composition. Of course not all leverage is created equal and a decent portion of our total borrowings relates to our non-QM securitization deal that we consolidate onto our balance sheet to our senior unsecured notes and to our term non-mark to market bank facilities; these forms of leverage are much less vulnerable to market shocks than short-term repo. We'll follow the same format on the call today as we have in the past. First, our CFO, JR Herlihy, will run through our financial results; then our Co-CIO, Mark Tecotzky will discuss how our markets performed last quarter, how our portfolio performed, and what our investment outlook is going forward. Finally, I'll follow with closing remarks before opening the floor to questions. But before we get to the financial results I wanted to mention how excited I am to have Lisa Monford [ph], our recently retired CFO back with Ellington Financial. As we announced last night, Lisa is joining me and the three independent directors on the board of Ellington Financial with Mike Vranos stepping down from the board but remaining as engaged as ever as Co-Chief Investment Officer where he and Mark Tecotzky will continue to lead our investment strategy. Lisa's insights and deep understanding of the company will be invaluable as we continue to drive the company forward. And with that I will turn the call over to Lisa's replacement, as Ellington Financial CFO, JR Herlihy.
JR Herlihy: Thanks, Larry and good morning, everyone. Please turn to Slide 6, for a summary of our income statement. In the second quarter, EFC generated net income of $21.2 million or $0.69 per share broken down as follows; net investment income after G&A and management fees and incentive fee of $11 million or $0.36 per share less net realized loss of $1.3 million or $0.04 per share plus change in net unrealized gain of $12.5 million or $0.41 per share minus allocation to non-controlling interests of $991,000 or $0.03 per share. Our net income comfortably covered our dividend of $0.41 per share, as we continue to grow the credit portfolio and rotate capital into higher yielding. Net investment income grew this quarter despite a higher cost of funds and our borrowings. By comparison, last quarter we had net income of $21 million or $0.67 per share and net investment income of $10.2 million or $0.32 per share. We view net investment income as a good proxy for our earnings power but keep in mind that it has it's limitations. At any point in time some portion of our capital will always be invested in asset that do not generate net investment income. For example; strategic and equity investments in mortgage originators where appreciation shows up in franchise value, and thus the contribution to earnings is reflected in unrealized gains. As another example; when we successful foreclose on a commercial mortgage NPL, we typically recognize an unrealized gain on the value of the real estate versus our basis in the loan, and that's not considered an investment income. Moreover, net investment income will never capture the portion of the total return that we generate via opportunistic trading. Please turn to Slide 7 for details on the attribution of earnings between our credit and agency strategies. In the second quarter, the credit strategy generated gross income of $24.9 or $0.80 per share while the agency strategy generated gross income of $1.65 million or $0.06 per share. These amounts compared to gross income from the credit strategy of $25.3 million or $0.81 per share, and a gross loss from the agency strategies of $317,000 or $0.02 per share in the prior quarter. In the credit portfolio, the average yield on our assets rose as did our cost of funds as LIBOR continued to increase. As a result, both interest income and other income, and interest expense increased quarter-over-quarter, and in total, our net interest income increased to $15.4 million from $13.9 million. Net realized gain and change in net unrealized gain was $11.2 million, down from $12.6 million last quarter with notable contributions from the portfolio of European consumer NPO's, the sale of which closed subsequent to quarter end, realized gains across most of our strategies, and other mark-to-market gains. Similar to last quarter our interest rate and credit hedges did not meaningfully impact P&L. In total net credit hedges and other activities contributed positive gross income of $1.7 million during the second quarter but the majority of that income came from our corporate credit relative value strategy. Other investment related expenses increased to $3.3 million from $2.6 million driven by higher servicing fees related to increased holdings and expenses related to our REO [ph] properties. Overall, the credit strategy utilized about 80% of the EFT's allocated equity at quarter-end and generated an annualized gross ROE of approximately 21% based on it's contribution of $24.9 of P&L in the second quarter. This gross return includes financing costs, hedging costs, and servicing fees, and other investment expenses related to portfolio assets but excludes general operating expenses, management fees and incentive fee. Staying on Slide 7, and moving now to the operating results of the agency strategy. Gross income for the second quarter was $1.65 million or $0.06 per share compared to a slight loss of $317,000 or $0.02 per share in the prior quarter. During the second quarter, agency RMBS prices declined again which led to net realized and unrealized losses on our portfolio totaling $5.66 million or $0.19 per share. However, these losses were more than offset by net interest income and gains in our net interest rate hedges and other activities which altogether totaled $7.31 million or $0.25 per share. Please turn to Slide 8; our credit portfolio was approximately $1.12 billion as of June 30, 2018 which was about a 9% increase from last quarter end. These totals back-up the effect of consolidating the non-QM securitization trust. The growth of our credit portfolio primarily came from net purchases in the following target strategies; consumer loans in ABS, residential mortgage loans in REO, European RMBS which is contained in the non-dollar slice here, and retained traunches in CLO securitizations which is in the CLO slides. We also sold a portion of our more liquid lower risk assets such as U.S. non-agency RMBS and CLO note investments and rotated that capital into our higher yielding strategies. Please turn to Slide 9; our long agency RMBS portfolio increased approximately 2% to $948.5 million as of June 30, 2018 from $928.2 million as of March 31, 2018. Our asset mix was essentially unchanged and our weighted average coupon increased to 4.08% from 3.97% in the prior period. Next, please turn to Slide 10 which shows the breakout of our borrowings and leverage. As of June 30, we had an overall debt-to-equity ratio of 2.77:1 up from 2.62:1 last quarter. The higher leverage resulted from increased credit and agency borrowings in connection with new purchases, and continues to reflect the lighter cash balance that we've been holding on balance sheet in favor of the more liquid lower risk assets such as certain U.S. non-agency RMBS and CLO note investments. Finally, GAAP leverage is higher because we consolidate the non-QM securitization for GAAP reporting purposes. If we weren't consolidating the non-QM securitization related debt our debt-to-equity ratio would have been 2.61:1. During the second quarter, we repurchased 242,161 shares or 0.8% of our outstanding shares coming into the quarter at about a 22% average discount to diluted book value per share. As a result of these discounts our share repurchases were accretive to book value per share by $0.03. For the second quarter our general operating expenses were $4.6 million representing an annualized expense ratio of 3% which is around where we see our expense ratio going forward. We ended the quarter with diluted book value per share of $19.57. I'll now turn the call over to Mark.
Mark Tecotzky: Thanks, JR. EST [ph] had a great quarter with almost all sectors of the credit portfolio making meaningful contribution and a solid $0.06 per share gross income for our agency portfolio which is only a small part of our capital allocation. Halfway through the year we have generated a total economic return of 8% plus non-annualized. This is particularly impressive given that credit spreads have struggled this year with the mortgage components of Barclay's Ag down 1% year-to-date through the end of June, and the corporate component down over 3%. We accomplished this with a broad-base contribution from all sectors of our credit portfolio, residential mortgages, commercial mortgages, consumer and corporate. 2018 is an inflection point for financial markets for a few reasons. First, the Fed is now implementing meaningful balance sheet reduction so investors can no longer ride the Fed's cocktails [ph] to generate returns Since yield curve is so flat now, investors can't expect to generate big returns by running a big duration gap, and in fact that can lead to negative returns when rates are rising as they have over the past year. Second, these credit spreads have tightened so much over the past few years, we think that in many highly credit sensitive sectors most of the returns to be made have already been made, and this year these sectors are mostly trading water; so you can't just camp out in the most commoditized parts of the credit market like credit risk transfer and expect further spread compression to drive returns. At the same time, there is some tremendous opportunities in other sectors; loan origination, for example, has a great tailwind from better financing terms that we've outlined and tighter securitization spreads. We have cast a wide net, we look at a lot of sectors quite to find high yielding assets that can't be commoditized such as after unhigh yielding bank loans, then we leverage their yield in our proprietary CLO securitization strategy. We create reverse mortgage servicing, a truly unique asset class to Longbridge, one of our mortgage origination strategic investment. To lend shore, another mortgage originator strategic investment of ours we secure a pipeline of high yielding non-QM loans that Fannie and Freddie can't commoditize. In the CMBS sector, we believe that we are one of only a select handful of BP buyers with the market knowledge, capital markets expertise, and granular research effort to be able to take advantage of yields in that sector. In the small balance commercial mortgage space, we've developed a network of partners who source commercial real estate bridge loans and distressed loans for us. Our investment team in Europe sources NPL and IPL pulls from bank work-out groups. For the consumer space, we buy our loans from proprietary origination partners. These are the ways we're driving returns as opposed to relying on a Fed-driven lower for longer thesis or relying on a bet that commodities credit spreads will bite [ph] you forever. We've built a portfolio that isn't a one-trick pony, no matter how good your one trick is the competition eventual figures it out; the sector that has the best performance one year often becomes overpriced and as a big drawdown the next; that's why we diversify. We diversify in every dimension; consumer versus corporate, security versus loans, residential mortgage loans versus commercial mortgage loans versus syndicated loans, loans that we buy in the secondary market versus loans that we manufacture ourselves; we look both in the U.S. and in Europe. We look for value across sectors, we don't have the same risk found all the time, we actively and consciously choose our risks based on a risk return framework that is continuously reassessed. As you can see from Slide 8; the loan credit portfolio. You can on Slide 8 the loan credit portfolio. Now you see a pie cut in roughly equal slices, dissecting our headline return number, almost every strategy of ours made a nice contribution this quarter. To diversify, [indiscernible] theme is important for two reasons; first, it should make returns more consistent, the financial service has a higher shark ratio. Second, you should make returns more robust. If any one sector looks too expensive or comes with risks we don't think we're competent to take, we avoid that sector to allocate the capital elsewhere. I'm sure [indiscernible] are good example, we're not giving them much of an allocation at all alright. Now because of the low levels of credit they have almost the catastrophe buyback risk. For example; last summer it was flooding in Houston cross-spread widening. That sort of weather, a natural disaster risk is something we can't predict but we can control it's impact by limiting exposure. Slide 11 is a new one for us; here we break down our credit portfolio into the four main building blocks; residential mortgages, commercial mortgages, corporate facing debt, and unsecured consumer loans. To summarize we aren't riding the Fed's cocktails [ph] and we aren't just leveraging commoditized credit data; we are finding highly specialized sectors with high yields using our research effort to model the assets in the risk, building up the necessary expertise to relationships, and then capturing the returns. This strategy isn't bulletproof, a big all-encompassing spread widening stock would certainly impact book value but we feel strongly that this is the safest way to generate high returns while controlling risk. We are convinced that it's the right approach in the current market environment. Now back to Larry.
Laurence Penn: Thanks, Mark. I'm really pleased with the progress we've made growing our portfolio, and the results we've generated so far this year. Our strategy of being patient and diligent and adding assets and building our strategic loan pipeline is really paying off; we've generated an economic return of 8.2% year-to-date, and the total return on our stock is nearly 20% year-to-date. Even with that total return we're still trading at a 15% discount to last reported book; so we still have room to perform from here. We talked a lot today about playing offense, by building the portfolio and adding leverage. We see plenty of reasons for some caution; they were the more modest challenges represented by a flattening yield curve and rising interest rates but the possibility of big shocks is still out there whether from the prospect of trade wars, slowing growth in China, or political turmoil in Europe. Additionally, as quantitative easing around the globe continues to give way to quantitative tightening, the market will continue to lose an important stabilizing force. So in light of these risks we believe that it's important as ever to be disciplined about hedging and leverage, and to keep duration on much of our portfolio relatively short. Of the volatility that we saw early this year does return, we believe that this will enable us to take advantage by adding assets at higher yields and trading out of some of the more liquid parts of our portfolio. The year is off to a great start but I'd like to reiterate that maintaining the stability of our book value is always an important objective of ours. As you can sort of -- see on Slide 13, the stability of our quarterly economic returns was unmatched in our peer group. Slide 14 provides additional insight into our stability. I pointed this out on previous calls but in this environment of rising rates it's worth highlighting again our low level of interest rate sensitivity. In the table on Slide 14, the fourth line down, non-agency RMBS, CMBS other ABS and mortgage loans captures the vast majority of our long credit portfolio. As you can see, if rate shift up or down by 50 basis points, we estimate that impact from the credit portfolio on our overall book value would be about plus or minus 75 basis points. That translates to an effective interest rate duration of about 1.5 years, and that's even before taking into account our interest rate hedges. We've accumulated such a short duration portfolio by focusing on products like short-term consumer installment loans, one to two-year commercial real estate bridge loans, and non-performing loans where we prioritize fast resolution. If volatility returns to the markets; I think we'll be very happy to see our short duration assets continue to run off naturally and quickly, enabling us to reinvest in whatever the opportunities are at that time. As we move into the second half of the year; we look to maintain our momentum, our primary focus is on executing our business plan, and in particular, continuing to grow our credit portfolio, emphasizing high yielding short duration assets, and thereby continuing to grow our net investment income to provide stability of earnings and dividend coverage. Let me reiterate once again how I believe that it all comes together; the short duration of most of our portfolio, the high current income of our portfolio combined with our dynamic hedging strategies, liquidity management and diverse sources of financing should enable us to both sustain performance in the current environment whether interest rates continue to rise or not and whether periods of credit volatility. Finally, as we've discussed previously, we continue to evaluate possible changes to our tax data as a publicly traded partnership. Our options include potential conversion to a C-Corp, potential conversion to a REIT, and of course, remaining a publicly-traded partnership. We will continue to provide updates as our analysis progresses. As always investor feedback on these issues is welcome. And this concludes our prepared remarks and we're now pleased to take your questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Bill Carter [ph] with Credit Suisse.
Unidentified Analyst: On one of those last points you're making about kind of the short duration of the portfolio, can you just talk about kind of where you see the flow of new products creation in non-QM or the consumer loans relative to the kind of the run-off of those portfolios and whether you're -- you can continue to sort of grow those in a steady state?
Laurence Penn: I mean, non-QM, the volume has increased and I see there in the last few months some of that is seasonal but some of that is just a more mature platform. So I would say in non-QM, when you get to deal size which is around $200 million, we typically see paydowns in that portfolio when it's relatively new, maybe on the order of $3 million a month, and monthly origination volume is sort of 10x of that, say $30 million plus. So that portfolio will continue to grow, then we'll do a securitization potentially and retain some pieces. On the consumer side, where some of the loans are very short maturity, inside two years; it's closer to a steady state where there is material run-off relative to new purchases.
Unidentified Analyst: And then can you just talk about -- maybe help us size the more liquid credit assets that you have -- you kind of -- you could use two to rotate into kind of the non-QM or other target assets as you're able to source those?
Laurence Penn: I'm sure, so in terms of market value does that fits in U.S. CLO notes and U.S. non-agencies, it's around $200 million or so of market value, that's levered. In the meantime they provide a strong contribution, particularly to net investment income; so I think they're good investments now but they're available to the run-off as we take assets out of the pipeline and close.
Unidentified Analyst: And I guess there hasn't been much of a change in kind of the potential -- either ROA or ROE pick-up as you can rotate into your targeted longer term assets?
Laurence Penn: I think we said about 2.5% pick up, I think that's still a good number.
Operator: Our next question comes from the line of Steve Delaney with JMP Securities.
Steve Delaney: I'm struck by the slide on Page 11, I think that's a new slide and under the residential mortgages; Larry, I can remember two or three years ago you were using some phraseology talking about Ellington being a specialty finance type of entity and to that end you made some strategic investments and some non-bank specialty finance companies with non-conforming type loans. In that 46% of the portfolio how many of those relationships exist today where Ellington has made some type of an equity or debt investment in the strategic partner?
Laurence Penn: In terms of equity investment there is two but we're working on a third with an existing flow provider and that's progressing nicely. So I think I expect that by the end of the year that will be three.
Steve Delaney: That was my second question as is -- do you continue to see that those – to expand this whether it's just to expand the volume or different products that that approach of making strategic investments is this superior than just be one of multiple slow buyers. I mean, is it…
Laurence Penn: Right and by the way, it just occurred to me we're also considering a fourth, again, with an existing co-provider. So yes, that could actually be four by the end of the year.
Steve Delaney: So it sounds like to me -- honestly, I mean, your markets and you're looking at everything, but it seems to me that an awful lot of energy and frankly, a lot of the benefit to your improved results in that 9% blended yield is coming from that 46% of the pie?
Laurence Penn: Yes. And just to be clear, right, some of the strategic investments I mentioned ones we don't have yet, but we're considering in the consumer loan space. But yes, yes, that's another slice of the pie there. But I think that when it comes to, I mean, for example, if you look at on the residential mortgages, NPL/RPL especially, we have in bridge loans and then in commercial mortgages, again bridge loans and NPLs. That's a very relationship-oriented business. Those businesses are not -- you don't call your broker at Merrill Lynch and say show me some bridge loans. So it's something that we really spent. I mean, we've been doing small balance commercial loans since at least 2010, maybe earlier. So these relationships and networks of loan brokers and things like that, that we've built up over many, many years now.
Steven Delaney: And are you doing on servicing on your loans?
Laurence Penn: So, no, we're not doing our own servicing per se, but keep in mind, that a lot of them -- so you got two types of loans. You've got nonperforming loans -- yes, so you don't have that much in collection, so they're nonperforming. So what servicing you're really talking, about negotiations with the borrower, you're talking about shepherding through the legal process in the foreclosure process, those types of things. It's very high and that certainly handling that in-house. Sometimes, we have partners some of the people that bring as these opportunities we like to see them co-invest we talk about some of the non-controlling interest look at our balance sheet lot of that comes from our partners on these deals that they bring to us and then we certainly encourage co-investment by those partners.
Steven Delaney: Great. Just to close out from me. You mentioned -- thank you for mentioning the continued evaluation process for the corporate structure. My question on that is, the decision that may or may not be made, is this a calendar year type of decision process, whereby if a decision is not made effective for 2019, that then if it's takes longer whatever that if it's not 2019, it's got to be 2020; in other words, it's not for something that you would do midyear, am I think not thinking correctly there?
Laurence Penn: Yes. That's a great question. It really depends. If -- obviously, if we stay, then there is no issue. If we shift to a C corp, that's the kind of thing that can pretty much be done at any time -- your shorter tax year for your -- not a big deal. Of course, if it works, you're going to have extra cash return. That's going to add complexities. It's work that you do it before the end of this calendar year and now we're getting pretty late in the calendar year. So anything that we do at this point, I can tell, would not be the effect of -- if we do anything, will not be effective until Jan 1, 2019. Now in the case of a REIT, by the way, it gets even more complicated if you try to do it towards the end of, let's say, 2018, because then you have to sort of satisfy your very short period of time, which puts kind of strain on that analysis. You want sort of the whole year to smoothen things out. So again, I wouldn't expect anything to take effect until the beginning of 2019. And as long as we do something relatively in the beginning and not like too long, I would say it could be worthwhile to do it, it didn't have to be January 1, but that's something that we've got in the back it would be nice if we're going to make a change to make one as 1 year, 1 structure next.
Steven Delaney: Congratulations on brining Lisa back in her new role.
Laurence Penn: Thank you.
Operator: Our next question comes from the line of Crispin Love from Sandler O'Neill.
Crispin Love: Can we have a little more color on, Michael leaving the board and kind of what is the rationale for him leaving the board after being on it since 2007?
Laurence Penn: Sure, yes, it's really all about Lisa as opposed to about Mike. When Lisa retired in March, and the board, obviously, Lisa extremely well, we have tremendous respect for here, and really, this is an opportunity to have Lisa -- and more of Lisa instead of less Lisa. And that's always a good thing. And even in the short term, I mean, Lisa has got a lot to offer as we just talked about continuing to consider change in our corporate tax structure. And we couldn't -- so it's really a positive of about adding Lisa. The thing is we couldn't just add Lisa and leave it at that because it's a small board. It's only 5 directors. New York Stock Exchange rules provide of independence. So if we just added one lately, so we would not be considered independent because she is newly -- she was employed by the management of the company obviously very recently. So that would be 3 3, not a majority of independence. And for those of you, who know Mike, that he is a trader and a portfolio manager at heart and will always be a trader and portfolio manager. And so as Co-CIO of Ellington Financial, I mean this makes sense for Mike as well. And actually, we've a slide -- actually, it was a Slide 25. I think yes, 25, you can see that management owns 12% of Ellington Financial. I think most of that is Mike. I mean, that's -- he's still as engaged as ever, still owns the shares, still is the CEO of the external manager. So this is really just, I would say, making room for Lisa, and obviously, Mike's voice will be heard as always.
Crispin Love: That's helpful with the majority of the independence. And then, the second one. So this is a second consecutive quarter that you've outsides realized and unrealized gains. Can you give us a little color on key drivers of the gains, and if you can expect them to continue in the second half of 2018? I know JR, you talked a little bit about it in your prepared comments about slowing kind of foreclosed properties, but just kind of speaking to that a little bit deeper?
JR Herlihy: Yes, sure. So as I mentioned, we had a sale of consumer NPLs in Europe that closed subsequent to quarter-end, so it appeared as unrealized gain on June 30 and then subsequent quarter, that will move into realized in reverse side of unrealized. So that's one of the big drivers. In terms of realized gains really across the portfolio, we had realized gains in nearly every bucket. We have -- the reason that in the attributions table, you see that it's not that meaningful is because there is corporate credit relative value strategy. We actually had a big unrealized gain and offsetting realized loss, so we have in a long shot strategy. So that's the number a little bit. But suffice to say, we had healthy realized gains across most strategies, not really any one particular driver on the realized side. And then, the unrealized, we had some mark-to-market gains, again pretty evenly distributed across handful of strategies with the one notable exception the European loan trade that I mentioned.
Crispin Love: Okay. And then, what kind of growth you guys are expecting for the Credit portfolio in the second half of '18? Is kind of the 7% or 9% that we saw in second quarter, around there or a little bit less than that?
Laurence Penn: I think, it's really hard for us to predict. I mean, first of all, if we do a non-QM securitization, by some measures that number goes up, by some measures it goes down. JR mentioned we got $200 million of these lower-yielding, more liquid assets that are sort of available to turnover at any time and probably would apply little less leverage to the higher-yielding assets than we're applying from more liquid assets. I just think it's really hard. We think the important thing may be to take away is just that we don't think that we're -- we don't think we're capped out by any stretch, and we should continue to grow overall. But if you look at the trends, you'll see that we're leveling off. Really, I'm not comfortable kind of putting the number on the growth for the rest of the year.
Crispin Love: Okay. And do you think the Credit portfolio should be fully ramped by the end of 2018 or it could even see some growth into '19 as well?
Laurence Penn: Yes. I mean, that's certainly what we are targeting is to be to have at that full level by the end of the year. But what can happen between now and yes absolutely, maybe even before. [Indiscernible] big picture. If you look at where we were at the end of 2016 in the Credit portfolio and then you look at where we are 18 months, it's more than doubled. So I mean, I wouldn't project that the level of growth to continue.
Crispin Love: And then just one last one from me. At the current valuation, would you expect to not be repurchasing shares there because I saw you haven't repurchased any in the third quarter so far?
Laurence Penn: Right, yes. So I wouldn't necessarily read too much into that other than to reiterate what we said before, which is that at 85% or close to that now, so I think we say 84% just right now?
JR Herlihy: Yes.
Laurence Penn: So At 84%, we're not interested in buying back shares. I mean, it's not accretive enough to book value to justify given the of expense ratio, liquidity of our stock, just smaller company versus a bigger company. So we're certainly where we are now. We're not really too interested. Below 80%, as we said we're really interested, the kind of trade below 80% very long. This past quarter, we kind of we could. Of course, the parameters of our 10B51 programs, which we talked we put in place with blackout periods, which went and basically, shortly after this call. So those kind of affect things in terms of where we exactly we place those parameters, those have to be automated. So -- yes, so I just think that given what we're seeing now in terms of investment opportunities, given where we're trading now, which is just close to 85%, we wouldn't be buying stock back here. As we get close to 80% or below 80% yes. And close to 80%, no, we'll stay. It will kind of depend upon the parameters of the 10b51 program and what we're seeing. So I think that's pretty good guidance. If you look over long, I'm sure, this is 1 past quarter or say 1.5 quarter, if you're looking at, but if you look over a longer period of time, I think since last December, we repurchased around 6% of our shares, again, discount around 20%, maybe little bit more average discount. Just we reloaded our share repurchase program. I think that's disclosed in the earnings release. So that 1.55 million shares were certainly not reluctant to reload that that's available. So I think it's going to be consistent with our prior guidance.
Operator: Our next question comes from the line of Eric Hagen from KBW.
Eric Hagen: Could you actually say what the total income contribution was from equity investments during the quarter?
Laurence Penn: No. No, we don't break that. Out. I mean, the strategic investments?
Eric Hagen: Yes.
JR Herlihy: I can tell you that. For the year, it's been a strong contributor. But, yes. So, but it's small, small amount of capital right. We've got what is the number, maybe not the were $30 million-ish?
Laurence Penn: It's about $30 million. So it's not. It's only 5% of our -- and if that's not leverage equity [indiscernible] So it's kind of it's really -- those investments are -- yes, obviously, we're happy that this year they've have done well, those equity investments, but those are as much about the effect that it has on the asset side -- rest of the asset side of our portfolio as opposed to per se, although we do think that those are some great feeds of possible great returns even on that equity investment we really believe in this company is there small companies could be worth lot of money one day.
Eric Hagen: Yes. Well, actually the $30 million of fair value that you have between the two investments, what is the breakdown between Longbridge and LendSure with regards to $30 million?
Laurence Penn: Yes, it's -- one is around, LendSure is around $3 million, I think.
JR Herlihy: Yes.
Laurence Penn: Yes, there you go. The other is around $27 million.
Operator: Our next question comes from the line of Tim Hayes with B. Riley FBR.
Timothy Hayes: Just wanted to follow up on Steve's question regarding the C-Corp and reconversion. Can you just touch on the analysis that still needs to be done or just kind of where you are in the process of evaluating those in the feedback you're getting from shareholders at this point?
Laurence Penn: Yes. Well, I think no matter what whatever what tact we take, I think that -- if do convert either to a C-Corp or REIT, I think it will help our share price, right? We've seen that with we saw KKR. I think that happened in the second quarter, right? So the stock has done extremely well and so part of is watching to see how these other companies have their share price react. Of course, every company is different in terms of the effect on the effective tax rate. In our case, I think that in terms of looking at a REIT, the challenges there is that we probably would have to shed a few strategies. And the question is how important are those strategies. And we would, if we were to do that, then that would be little friction in terms of tax perspective. You still have -- we would have -- right now, our effective tax rate is very low. I don't know if it's few percent But if we were to convert to a REIT, we will have to shift more assets to subsidiary, some of the nonmortgage assets for example, and shed some of those strategies, which again could be done somewhat by actually selling, it could be done somewhat more organically because some of those are just runoff. We would have to shift tax that considerable amount of assess into subsidiary and then those would be that's basically like a C-Corp for tax purposes so you'd be paying taxes, which is 21%-plus any state and local. So yes that would have a, I would say, a definite, but a moderate effect on our overall tax rate. So that's the kind of also shared some of it being pretty modest. C-Corp as a much bigger in terms of now our effective tax rate really goes up a lot, but we have total flexibility, even more flexibility much more than we have as partnership we rollout of hopes to comply with publicly traded partnership rules not originating -- originator and things like that. I think other than in the market space where we can do it through our REIT subsidiaries. So it's complicated. I think in terms of the feedback we've gotten from shareholders, it's very mixed. So some of them would be all for it. We love the increased liquidity on our shares, would enable us to grow more, I think. Others, who are frankly, let's say, more ultra-long-term holders just from their own perspective might say, hey, look, if I'm just going to own the stock for the dividend stream over time, and why should I have a slightly lower dividend stream in any scenario, whether it be just slightly lower or C-Corp or it would be substantially lower because of the taxes why should I do that. So it's really depends on the investor. I think that if we do convert to either structure, I think we would see a turnover in our investor base, right? Because I think that type of investor base, it does own publicly traded partnerships, it's smaller, it's stickier. I'd say, it's smaller. We've got a very small stick investor base. So I think we would get demand from a lot different types of shareholders and I think we probably would have some turnover, but right now, we're very attractive to foreign buyers because we don't have the withholding that you have on the REIT, and the company doesn't really have to pay a much taxes now, so it really depends on the investors. So I think we would see some turnover there.
Operator: At this time, there are no further questions. This concludes today's conference call. You may now disconnect.